Operator: Good morning and welcome to the TripAdvisor's Second Quarter 2017 Earnings Conference Call. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to TripAdvisor's Vice President of Investor Relations, Mr. Will Lyons. Please go ahead.
Will Lyons - TripAdvisor, Inc.: Thanks, Brian. Good morning, everyone, and welcome to our second quarter earnings conference call. Joining me today are Steve Kaufer, our CEO; and Ernst Teunissen, our CFO. Last night, after market close, we distributed and filed our Q2 earnings release. We filed our 10-Q, and we made available our prepared remarks on our Investor Relations website, located at ir.tripadvisor.com. In the release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. You will also find supplemental financial information, which includes certain non-GAAP financial measures discussed on this call as well as other performance metrics. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent the company's view as of today, August 9, 2017. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release and our filings with the SEC for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. And with that, I'll pass the call over to Steve.
Stephen Kaufer - TripAdvisor, Inc.: Thank you, Will. Good morning, everyone, and thank you for joining our call. I hope you've all had a chance to read our prepared remarks we issued last night. In summary, we made important progress on our 2017 initiatives, laying the foundation for future growth. In Hotels, it's still early days and there's much more work to do, but our new hotel shopping experience and television campaign have delivered some nice early signals of success, conveying the message that TripAdvisor helps users find the lowest hotel prices. In Non-Hotels, we have continued executing well on our three to five-year growth strategy and are pleased that our recent results have begun to highlight not only our continued market share gains, but also this segment's attractive longer-term margin potential. Our strong global brand, differentiated end-to-end product offering, growing mobile engagement and solid financial position uniquely position us to gain share in the large and growing travel market opportunity. We are making progress and we like the path we're on.
Ernst J. Teunissen - TripAdvisor, Inc.: Thanks, Steve. Good morning, everyone. Q2 consolidated total revenue growth accelerated to 8% and TripAdvisor click-based and transaction revenue grew 6%, which was squarely in line with our expectations. Currency headwinds were approximately 2% to each of these two revenue lines during the period. Non-Hotel segment revenue growth accelerated to 31%, driven primarily by continued strong traction of our attractions and restaurant businesses. This segment also demonstrated a strong market – margin potential, delivering 17% adjusted EBITDA margin amidst continued investment in long-term growth. Looking ahead, as described in last night's prepared remarks, some recent trends have softened our full-year revenue outlook a bit, though our adjusted EBITDA outlook remains intact. This is primarily driven by our outperformance in Non-Hotel. Most importantly, our product and brand marketing initiatives are now in flight and are showing positive early signals over time as more users visit TripAdvisor to find and book their travel experiences, the more transformation it will be to our long-term revenue growth, marketing efficiency and profit. With that, we'll open the call to your questions.
Operator: And our first question will come from the line of Eric Sheridan with UBS. Please proceed.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the question. Steve, when you think about the return you're trying to get on the uptick in the brand advertising and the performance marketing spend, maybe leaving aside some of the issues of the auction or mobile mix, how should investors be thinking about the return you get on that spend and what the return on that spend might mean for how you think about working marketing spend versus aiming for top-line growth in 2018 and beyond? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. I mean, we've certainly seen many folks do well on television now as a way to gain brand direct traffic. We come at it from a – we have this tremendous brand that's very well-known, but we need to shift a bit in what people know us for. So our core metric, when we look at the branding we're doing is unaided awareness of TripAdvisor as a place to get great prices, as a place to go when you're ready to book your property, and we track that in all of our markets. So the ROI is going to be reflected in branded traffic. It's going to be reflected in the conversion rate of our clicks that come – of the travelers that come to TripAdvisor and then click downstream to our partners and kind of how qualified are those folks and the overall ratios of folks coming to TripAdvisor, what percent of them are down funnel enough that they're ready to buy. So as we look to pull back a bit on the traditional SEM or direct spend by the visitor and tries to turn it into quickly in favor of the more loyal, the more branded, the more high intent to book traveler that we expect and do seem to be getting per our remarks from our advertising channels.
Ernst J. Teunissen - TripAdvisor, Inc.: And although we think television is going to be a near-term drag on our average [ROIS] as a near-term drag on our profitability, our expectation for the channel is over the longer term that this is going to be accretive to us, is going to really help us tap into the lifetime value of users, going to help us tap into getting users to consider us more at the time of booking and when they do price comparison. So it's compared to performance marketing, a little bit more of a lead time but we think, ultimately, a more profitable channel than performance marketing has been for us to date.
Eric J. Sheridan - UBS Securities LLC: Great. Thank you.
Operator: Thank you. Our next question will come from the line of Lloyd Walmsley with Deutsche Bank. Please proceed.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. Wondering as you start to get more into TV, do you feel better about your ability to measure the impact this time than when you ran TV a few years ago and then a follow-up after that?
Stephen Kaufer - TripAdvisor, Inc.: Yes. Having done it several years back, I think we learned a number of valuable lessons. I think we are better able to ask, we're better able to measure on our side and off our side, and we're better able to look at the behavior of our current traffic, as well as the external metrics. I mean, we look at stuff like Google trends, which has shown certainly from 2015 to 2016, you can see the domain drip or the branded searches. And when you look now and in our TV markets, we're doing comparatively well. So, the astonishing thing from our perspective on that is we've really only been on TV since mid-June and we've always been talking about this as a large multi-year campaign because we do know it takes time to build, yet we're actually seeing some green shoots in the short time as the past six weeks.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: And then a follow-up. If you look at kind of the mobile traffic growing really strongly in terms of the hotel shoppers, a little tougher on the desktop, curious as the TV spend starts to impact things, do you see that impacting growth on both the top and smartphone? How should we think about that?
Stephen Kaufer - TripAdvisor, Inc.: It's a great question that's actually a little harder for us to measure. I think it would be fair to assume that some of the mobile growth – because we're looking at all of Q2 and our TV ads were on for just a tiny part of that timeframe, the mobile growth is much more of a shift to mobile the fact that we have a great mobile experience. Our site redesign, the whole brand launch was really quite beneficial on the mobile side. When we now layer on summertime activity and the amount that we're spending on TV, I don't have a data point to share with you yet, but I would expect television to certainly help the mobile traffic as people pull out their phones and think about travel shopping at the exact moment they're looking at our TV ads.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thank you.
Operator: Thank you. Our next question will come from the line of Ross Sandler with Barclays. Please proceed.
Ross Sandler - Barclays Capital, Inc.: Great. So Steve, I have two questions. First is on the smartphone hotel – revenue per hotel shopper. And then second on the July auction weakness comment in the letter. So, first, I guess given the mixed shift to faster growth, lower-monetizing international markets in the smartphone channel, what's driving the – can you give us more color on what's driving the really strong acceleration in smartphone revenue per hotel shopper? And then the July weakness that you noted in the letter, just any additional color on what's happening kind of in the near term? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: To start with the monetization on mobile, indeed, very pleasing progress that we made in the quarter and, to a large extent, driven by the significant improvements we've made overall on our user experience and our new refreshed user interface. But particularly, we put a lot of emphasis on improving our mobile experience as well, both on the app as well as on mobile web. And we believe that is really bearing fruit. So we saw not only impressive overall growth, but individually impressive shopper growth, as well as individual monetization – significant monetization growth on the mobile, and we continue to work on it. We have still a steep hill to climb. We're monetizing at about a third of desktop, but we see opportunity to improve that and we're pretty pleased with what we achieved in that first quarter.
Stephen Kaufer - TripAdvisor, Inc.: So I'd recap, we do believe we deserve a fair amount of credit, the product team, the marketing team deserve a lot of credit for delivering a better product, a better experience on mobile, and I think you see some of that in the results. And it's just now easier and faster to get to the hotel that you're looking for. The sort is better. The experience is better. The price comparison and we see that in our user surveys, and it's comforting to see the results as well. We also do have to give a nod to the overall changes in consumer behavior with consumers becoming more and more comfortable over time booking or buying anything on their phone, and that's including travel. So that's going to be a bit of a tailwind for us as it has been.
Ernst J. Teunissen - TripAdvisor, Inc.: With regards to the CPCs in July, so we started with softer pricing in our auction – in our core auction, which we believe is driven by our partners taking some efficiency, and that has created some additional softness in the start of our quarter. And as we project that out into the year, we've taken a cautious approach. Now, of course, we always have volatility in our auction. That's a function of running the auction. We have multiple partners and we are, to some extent, impacted by the marketing decisions they make along the line in the year. There's always that volatility, but we thought it was prudent given where we are and what we can see right now to incorporate some of that into our projections for the rest of the year.
Operator: Thank you. Our next question will come from the line of Perry Gold with MoffettNathanson. Please proceed.
Perry Gold - MoffettNathanson: Thanks for taking the question. Can you provide a bit more color on the international softness you're seeing? What do you think is causing it? Is it competitive pressure, auction weakness or something else? Thanks so much.
Stephen Kaufer - TripAdvisor, Inc.: It is a bit hard for us to tell. Certainly, U.S. has been our strongest market all along. And so I think we've done well there and we tend to optimize there first. Some of the competitive pressures are certainly stronger internationally and we have a little bit of currency headwind there as well. We view the overall travel market as reasonably healthy. We look at all of our inventory across all of our platforms and say that, that's strong. But we also note that the shift to mobile is perhaps more aggressive in non-U.S. markets. And again, that's fine for us in the long-term. Arguably helps us in the long term as we have great in-destination products and a strong travel lifecycle message, but it does offer some near-term CPC headwinds.
Perry Gold - MoffettNathanson: Great. Thank you.
Operator: Thank you. Our next question will come from the line of Jed Kelly with Oppenheimer. Please proceed.
Jed Kelly - Oppenheimer & Co., Inc.: Great. Thanks for taking my questions. You continue to drive nice non-marketing OpEx leverage. Does the company need to operate a leaner – as a leaner business in order to compete in some of the higher marketing cost channels? Any color there would be great. And then, can you give us an update around some of the initiatives in Vacation Rentals? Thank you.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, I'll take the first question. So we are driving, as you say, nice operating leverage. If you look, for instance, in our Non-Hotel business, the margin expansion that we're seeing there is driven by operational scale that we're achieving in that business. We're initially in the earlier stages of the development. We were relatively inefficient and now are getting some efficiencies. On our core Hotel business, we are prudent in how we expend OpEx and we expand OpEx only very modestly in this year in light of the shift to more pay channels that we see. So we – it's a focus of ours. It's a continuing focus to make sure that we grow our OpEx base responsibly in light of the competitive pressures that we see. Do you want to take the second?
Stephen Kaufer - TripAdvisor, Inc.: Yes, on Vacation Rentals, we continue with our playbook of expanding supply, improving the conversion. We feel we have a wonderful opportunity and we continue to experiment with placing rental inventory in line in our CRM efforts, in line in our – in the geographies where a rental may well be better suited to what the traveler needs. I think many would look at the opportunity in that category and say, well, to some degree, it's going to be converging into just a general lodging category where if we can present the best choice for price, for availability, for location, for amenities to a traveler going to a city or a Vacation Rental geo, we're well suited to help that transaction. That's the core purpose of our Vacation Rental offering and we're able to be successful at it due to the sheer amount of traffic that we have on our Vacation Rental brands and the core TripAdvisor offering.
Jed Kelly - Oppenheimer & Co., Inc.: Thank you.
Operator: Thank you. Our next question will come from the line of Mark May with Citi. Please proceed.
Mark A. May - Citigroup Global Markets, Inc.: Thank you. Maybe just another one on the auction pricing comments. Can you share what you think might be driving that? Is that a reflection of adjustments advertisers are making to reflect TripAdvisor specific factors or are they pricing adjustments that are more likely related to macro factors? Kind of what is your – what's your analysis suggest? And then on desktop monetization, have you guys made any changes that are maybe negatively impacting desktop monetization in the near term? And if so, can you discuss what those are and the impact that those might be having? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Sure. So on the CPC, we really don't have great insight into what our clients choose to do. We do believe that we are not disadvantaged by way of trip specific. Our advertisers consistently tell us they look to get the best return they can through whatever channel and we take that on face value. With regard to desktop monetization, certainly, the redesign was – we put a fair amount of effort into the redesign on all devices. We took away a few of the features that had generated some money for us. But by virtue of making the design cleaner and simpler and more efficient for a hotel shopper, we regained that in terms of monetization capabilities. So when we look at it, no, there's no clear desktop monetization headwind that we're talking about or that we're facing that we have done. Really desktop traffic, in general, is declining, mobile's growing and we face that issue like every other company. When we look at our opportunities in the second half of the year, because a lot of the heavy lifting in the redesign is now released, we're able to get back on a really nice fast pace for optimizations. So that is something that we know how to do very well. We have done it for years. We have a new foundation that we're really pretty excited about on all devices, and now we how a fairly large team up and running and making regular improvements in the – in our revenue per shopper, in our conversion, which, at the end of the day, certainly helps us economically but really helps our traveler find what they're looking for faster and easier and at the best possible price. You'd see more of that. We would all see more of that dropping to the bottom line were it not for the shift from desktop to mobile, causing that kind of monetization headwind, which is, again, why we're pretty excited about the conversion improvements that we've made on the phone and how that rev per shopper has grown. It just still has ways to go to get closer to desktop.
Mark A. May - Citigroup Global Markets, Inc.: Thanks, Steve.
Operator: Thank you. Our next question will come from the line of Mike Olson with Piper Jaffray. Please proceed.
Mike J. Olson - Piper Jaffray & Co.: Hey, good morning. Just one question for me. The profitability of the Non-Hotel business was strong. Just curious what's causing the margin upside. I didn't get the sense that you're trading off margins for growth there or anything like that. So really what is it that's driven the improving margin profile? And then also when you look forward for the Non-Hotel business, where do you think you will be focusing the most resources? Is it increasing inventory for tourist and attractions or marketing for Viator or LaFourchette inventory and marketing or something else? Thank you.
Ernst J. Teunissen - TripAdvisor, Inc.: I'll take the first part and I'll – Steve ask – respond to the second part. In terms of the margin expansion, yes, very pleasing. It's really – we said we're on a roughly three to five-year journey with our Non-Hotel business where we're investing significantly in the early stages in supply expansion, in particularly, as well as in in marketing channels. And we're now getting to a scale where we see some impressive efficiencies. So if you go through the different efficiencies on the marketing line, we see efficiencies. We continue to grow disproportionately fast on our TripAdvisor channel. So, making attractions available to TripAdvisor users, which is a great growth channel for us and allows more marketing efficiency compared to before. We have large app penetration and a great ability to offer attractions to our users, so marketing efficiency, but then just operational efficiency as well. So initially, a lot of manpower going into both site development as well as supply expansion and we're now reaping some of the leverage benefits from that going forward. So you are right, we are managing the business not for profitability. We're managing it for growth. There's just tremendous opportunity in terms of the TAM of this – particularly the attractions market space. We feel we have an early lead and we continue to invest aggressively to capitalize on that advantage. So, we're not seeking margin expansion, and going forward, we will continue to emphasize revenue growth. But the way the business has evolved has allowed us to see some margin expansion this year.
Stephen Kaufer - TripAdvisor, Inc.: And so when we look at the Non-Hotel segment going forward, I would have to point to attractions as the one that we believe has the biggest short, medium and long-term upside for us. The TAM is phenomenally large. We would certainly argue we are the current leader in the space. We've put many – we put the past three years into building a more and more impressive supply footprint, getting the things that people want to do in-destination on our platform. You can't have a great conversion rate unless you have the things that people want, and we're by no means done in that category by way of supply, but a lot of the heavy lifting is there. So now we get to focus on conversion and the team has been doing just great work. And conversion makes the traveler happier. They get to find what they want, book what they want. The margins of business are great. We're not trying to maximize that piece. But if you take conversion as your near term, you take marketing channel growth as your kind of mid-term driver and continued growth and supply as your long-term driver, you've got a set of beautiful characteristics. TripAdvisor already has so much attraction demand for everything, not just bookable items. So we have this big and growing demand funnel that's been happening organically. We have our Viator point-of-sale and our third-party business. And as you grow in scale and as more people get used to booking online, which is a trend we're helping, but I wouldn't say we're driving, all those come back and you're looking at a business that basically has almost all tailwinds to it. And with our ability to invest in it, we love what we see pretty much every way we look at it.
Mike J. Olson - Piper Jaffray & Co.: Thank you.
Operator: Thank you. Our next question will come from the line of Kevin Kopelman with Cowen and Company. Please proceed.
Kevin Kopelman - Cowen & Co. LLC: Hi. Thanks a lot. So just a few questions. So first of all, on the July auction softness and the partners taking efficiency. Can you characterize the distribution of that? Do you see it more in the U.S. or international or broadly? And then within the advertisers, would you characterize it as driven by your one or two major advertisers or, again, more broadly across the wider advertiser base? And then I have a couple others. Thanks.
Stephen Kaufer - TripAdvisor, Inc.: I'd say the only color I'm kind of ready to add on that is we do see it globally. It's not regional in nature. It's not consistent across all of our clients. So that doesn't point to any big macro trend, if you will and, again, could reverse itself, could be changing. We don't get visibility into the efficiency decisions of our clients.
Kevin Kopelman - Cowen & Co. LLC: Got it. Thanks. That's helpful. And then just on the EBITDA guidance of flat to down, can you give us any more color on how you're thinking about the down portion of that guidance range? Or just kind of open ended, just given that you might have a better view on what the full year is looking like? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes. Obviously, the puts and takes on the EBITDA is, on the one hand, we have a lowered outlook on the revenue side. A lot of that revenue is driven by paid marketing channels and, as a result, doesn't have a direct negative impact on the bottom line. We also continue to make some of the margin trade-offs on efficiency. But importantly, our Non-Hotel business has been doing really well and continues to do really well. So in that mix, despite the fact that we have lowered our outlook of revenue, we have essentially not changed our outlook on EBITDA. We're saying flat to down and continue to say flat to down. Got a question, often get asked, can you range that? What is down? I look at some of the range of sell-side estimates out there, and I don't think there's much confusion about what that may imply.
Kevin Kopelman - Cowen & Co. LLC: Okay, great. That's very helpful. And then just one last quick one is can you give us an update on the phone as a percentage of hotel shoppers?
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, it reached a little over 40%, which is the first time we've crossed that threshold this quarter and was a significant move-up from last quarter.
Kevin Kopelman - Cowen & Co. LLC: Got it. Thanks, Ernst.
Ernst J. Teunissen - TripAdvisor, Inc.: Thank you.
Operator: Thank you. Our next question will come from the line of Justin Patterson with Raymond James. Please proceed.
Justin T. Patterson - Raymond James & Associates, Inc.: Great. Thank you very much. Two, if I may. First, just on the Non-Hotel side, the strength and attractions, should we think of the growth vectors there still primarily a supply for the moment? Or are you starting to see kind of meaningful conversion rates, attach rates on the core TripAdvisor site? And then secondly, as we think through just the impact of the new landing page, the new app, are there any positive KPIs you're looking at, whether it's just more time spent on site, more searches done that can give us some more confidence in the trajectory of click-based revenue as we exit 2017? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: I'll take the first one. So, we definitely continue to expand supply on attractions, but very nice growth also coming from the demand side from – in our conversions and so overall revenue growth actually now ahead of the supply growth.
Stephen Kaufer - TripAdvisor, Inc.: I'd add to that. The – it's a notion of on-site conversion from interest in a tour or attraction to a booking on either the TripAdvisor attractions pages or the Viator point-of-sale or the TripAdvisor app. It's less – and I urge you to think less about what's commonly referred to as the attach rate of, A, and someone just booked a hotel with us and now we get them to book an attraction. We have some of that, of course, because we do a lot of hotel business. But truly, most of it is people who are on our site because they are looking for attractions, and this gets into one of the themes that we started several years ago when investing in restaurants and attractions is we have hundreds of millions of folks who are very happy, very loyal using our site for these other benefits that we were either poorly monetizing or not monetizing at all. And so now you see the attraction shopper on TripAdvisor turning into real revenue. And it's through the Viator acquisition and the great work that that team has been doing to build up supply and matching that supply with the things that are popular on TripAdvisor. To your second question, certainly, we've shown the RPS improvements on the phone. We actually have rev per shopper improvements on desktop as well. It's just that because of that mix shift, the overall RPS dropped a little bit. When we look at things we've done on the app and mobile web, it's in part better experience, in part it's faster, in part the user experience helps you find what you are looking for better, and we've increased our rate of testing on frankly all devices, but very specifically on mobile web as we've seen that traffic just shoot up. KPIs on just the homepage, no, I don't really have anything new to share there. I can simply point to the entire site redesign and point to the metrics that say, it's clearly worked from a revenue perspective. We've studied it with our focus groups and it's clearly worked from their perspective, reducing clutter, easier to find what you're looking for, a set of other questions. And by giving us new foundation, we're very optimistic about our philosophy of testing for even further improvements.
Operator: Thank you. Our next question will come from the line of Dan Wasiolek with Morningstar. Please proceed.
Dan Wasiolek - Morningstar, Inc. (Research): Hi. Thanks for taking the questions. So just kind of over the long term, where do you think the mobile traffic mix can go? And where do you guys think you can end up monetizing as a percent of desktop? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: It's difficult to say where it will net out. It's now at – it was now at 40% in the last quarter. Clearly, there's still some upside to that. Where exactly it will net out is as difficult to forecast for us as it is for you. But up from here, is what we believe it will be. In terms of the monetization, there's likely to be always a delta between monetization on desktop and on the phone. It is just more plausible that you book a larger trip, a multi-day, multi-destination trip on your desktop in the comfort, obviously, on your big screen and more detailed photos and skew the more immediate purchases to the phone. But we – at the same time, we believe that the current – third – one-third monetization has significant upside to it. So we expect to narrow the difference, but not quite, get there over time. And how far we get there over time, again, is a bit of an unknown for us.
Dan Wasiolek - Morningstar, Inc. (Research): Okay. That's helpful. And then if I could just quickly ask, I think in May, you guys commented on the user interface and that at that time the testing of that, that it was approaching pre-test levels, I guess, in regards to conversion. Where is the conversion now? Is it back to, like, the pre-test levels?
Stephen Kaufer - TripAdvisor, Inc.: Yeah. So we've recovered any of the revenue headwind that we had faced when we had been testing some of the initial versions. So, we look at and say, yeah, to the best of our ability to judge, it's rev-neutral by the time. It was on that run rate when we launched. And now given the additional performance improvements that we made, I'm sure we're ahead of where we would have been. The exciting part, as I've alluded to before, is that we've got this really nice foundation. So we're queued up with tons of interesting, promising ideas to test in terms of furthering our rev per shopper, furthering our conversion rate growth on all of our devices.
Dan Wasiolek - Morningstar, Inc. (Research): Okay. Very helpful.
Ernst J. Teunissen - TripAdvisor, Inc.: And maybe, sort of, implicit from what we have said before, I just want to make it explicit that a lot of the change to the outlook in revenue is really driven from – by external factors that we see here. If we look at our – what we're controlling internally, for instance, the development of our site, we see – our performance as doing quite well. So no reason from site performance or from initial read on TV going into that revised revenue outlook.
Stephen Kaufer - TripAdvisor, Inc.: One of the additional things I'll add in, as we are working on our conversion improvements, they're all aligned with matching our advertising campaign and matching our value proposition that delivering to travelers of helping them save money on this trip. We're so well known for reviews, which is wonderful, incredible differentiator. It's hard to imagine anyone could ever make a serious inroad to us in terms of being a competitor in that space. But as we move the product, the display, the visibility and the impression of TripAdvisor on the part of our travelers, to view us as that review site, that review site that actually saved me a ton of money because it offered me a great value hotel that I wouldn't have otherwise find with a better price or it helped me find the best place to actually reserve a room at this hotel that I want to go at, and that's kind of a new piece and so part of the site redesign was clarity. Part of the site redesign was easier shopping experience, but one of the things that we love the most from our testing that we've achieved in this redesign is that we are educating our users, our travelers that we're helping to save them money, that we're finding them great prices. And we see that come through in our surveys, we see that come through in those anecdotes in the stories, and that matches, of course, the big message in our brand campaigns.
Dan Wasiolek - Morningstar, Inc. (Research): Okay, great. Thank you very much.
Operator: Thank you. Our next question will come from the line of Brian Fitzgerald with Jefferies. Please proceed.
Brian P. Fitzgerald - Jefferies LLC: Thanks. A couple of quick ones. In the letter, you called out some dilution from April and May product testing. Was that around the redesign rollout, layering in Vacation Rental inventory and the search algorithm changes, showing pricing more prevalently? Or is it, hey, we're always mixing it up, a little bit of everything? That's the first one. And just really quickly on the Non-Hotels business, it's growing nicely. Do you have a bogey for where you want that to be kind of three to five years from now? Do you want it to be back to business? Or, hey, we are just – we're happy growing it, we're happy getting it more profitable, and that's the way we're thinking about it?
Ernst J. Teunissen - TripAdvisor, Inc.: Yes. So we were testing in April and May the changed user experience, the rollout of the focus on an easier shopping experience, hotel shopping experience, easier-to-do price comparison, general increased usability. And so that was what we rolled out by the end of May really ahead of our TV launch. And as we were testing different formats for that, we incurred some losses in April and May, smallish losses but impacting, which, by the end of May, we had neutralized, as Steve just described. So that is what the comment was about. It was not anything broader than that. In terms of Non-Hotel, yes, we see continued opportunity to show impressive growth in attractions and in restaurants going forward. So as we look at the TAM ahead of us and the inroads that we're making, we believe that line can continue to grow over the next years. And although as I said before, the path on margin may not be linear because we're focused on revenue growth, but we do believe that margins in this business are – can be very helpful – healthy and can be hotel-like. And so we look at that business over the next three to five years and do our projections of revenue growth, market share gains and long-term margin and believe this will be a meaningful contributor to our overall revenue and our overall profit pool three to five years from now.
Brian P. Fitzgerald - Jefferies LLC: Thanks, Ernst.
Operator: Thank you. Our next question will come from the line of Paul Bieber with Credit Suisse. Please proceed.
Vikram Kesavabhotla - Credit Suisse Securities (USA) LLC: Hey, good morning, everyone. This is Vikram on for Paul, two questions for you. First, I know it's so early in the brand advertising campaign, but I'm wondering if you can call any notable trends up to this point as far as the purchasing behavior, research behavior of new users that are joining the platform. And then as a follow-up, given the strength that you're seeing in the Non-Hotel segment, should we expect to see those businesses emphasize more heavily in the brand advertising campaign? And if not, how do you plan raise awareness of those businesses? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Sure. Well, as you can imagine, six weeks in, it's going to be way too early to really know definitively on TV campaigns. The notion of travelers episodic being able to measure repeat behavior because of the TV, even harder. We do see early shoots, early green shoots because we look at the Google trends, we look at our domain direct traffic and we look at the behavior of what we believe to be new users coming to us from TV and those all look promising. It's just way too early for us to draw any conclusion. So given a choice, we're, obviously, thrilled that we're seeing the positive signals but we are being appropriately cautious given that we haven't been on air for very long. To the second part of the question, look, we've built a brand campaign honing in on the thing that we feel we most need to teach about TripAdvisor, which is we're here to help save you money, to help you find those hotel prices. It's not a stretch to see how our spokesperson can start talking about any of the other things that we currently do on the site along the same vein. Not giving any comments on whether we will or won't do that short or long term, but we know we have so much more to offer than just hotel bookings and price comparison. But that's clearly without a doubt the number one message we want to get across to consumers right now and we've chosen not to publicly dilute that message with all the other great value that we provide. Note, with attractions growing the way it is, restaurants growing even faster, we clearly already have a good sort of growth model in place in those areas. So it's not like they need extra attention at the moment.
Vikram Kesavabhotla - Credit Suisse Securities (USA) LLC: Great. Thank you.
Operator: Thank you. And I'm showing no further questions at this time. So now it's my pleasure to hand the conference back over to Mr. Stephen Kaufer, Chief Executive Officer, for some closing comments or remarks.
Stephen Kaufer - TripAdvisor, Inc.: Okay. Well, thanks, everyone, for joining the call. We still have a lot of work ahead of us, but we're very pleased with our progress along all of our long-term growth initiatives. I want to thank our employees around the globe for their continued hard work, and we look forward to updating everyone next quarter. Thank you.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude the program. And you may all disconnect. Everybody, have a wonderful day.